Operator: Greetings, and welcome to the Greif, Inc. Second Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Debra Strohmaier, VP, Corporate Communications for Greif, Inc. Thank you. Ms. Strohmaier, you may begin.
Debra Strohmaier: Thank you, and good morning. As a reminder, you may follow this presentation on the Web at greif.com in the Investor Center under Conference Calls. If you don't already have the earnings release, it is also available on our website. We are on Slide 2. The information provided during this morning's call contains forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are on Slide 2 of this presentation, in the company's 2012 Form 10-K and in other company SEC filings, as well as company earnings news releases. This presentation uses certain non-GAAP financial measures, including those that exclude special items, such as restructuring and other unusual charges and EBITDA. EBITDA is defined as net income plus interest expense, net, plus income tax expense less equity earnings of unconsolidated subsidiaries, net of tax, plus depreciation, depletion and amortization expense. Management of the company uses the non-GAAP measures to evaluate ongoing operations and believes that these non-GAAP measures are useful to enable investors to perform a meaningful comparison of current and historical performance of the company. All non-GAAP data in the presentation are indicated by footnotes. Tables showing the reconciliation between GAAP and non-GAAP measures are available at the end of this presentation and in the second quarter 2013 earnings release. Giving prepared remarks today are, in order of speaking, Senior Vice President and CFO, Rob McNutt; and President and CEO, David Fischer. I will now turn the call over to Rob.
Robert M. McNutt: Thank you, Deb, and thank you for joining us this morning. I'm now on Slide 3. Our second quarter results were modestly higher than the same period last year, and cash from operations was $108 million. Factors that impacted our performance included volumes that were modestly higher overall, lower raw material costs and lower restructuring charges compared to the same period last year. Our Paper Packaging business achieved record net sales for the quarter and record second quarter operating profit. Please turn to Slide 4. The second quarter improvement in operating cash flow increased the year-to-date amount to $39 million and keeps us on track to achieve one of our key fiscal 2013 objectives. To put business in perspective, in 4 of the past 5 years, our results for the first half of the fiscal year represented cash used in operations of between $13 million and $56 million. The only exception during this period was last year, when we were implementing processes to improve working capital management. We're encouraged by the operating cash flow for the year-to-date period and look forward to further progress during the second half of the fiscal year. Free cash flow was $80 million for the second quarter of this year. Working capital was $340 million at April 30, 2013 compared with approximately $368 million on the same date last year. Recall, this year, we eliminated inefficient inventory consignment programs, which had a negative impact on reporting working -- reported working capital of approximately $25 million, as we discussed on our Q1 call. We continue to implement processes to improve management of our working capital. I'm now on Slide 5. Net sales decreased modestly to $1,089,000,000 for the second quarter compared with a year ago. Sales volumes were modestly higher compared with a year ago, and there was a slight decrease in selling prices and to a lesser extent, negative impact of foreign currency translation. Selling prices were mixed across our businesses, with Paper Packaging achieving positive price comparisons versus a year ago, while selling prices for the Rigid Industrial Packaging and polywoven products decreased in response to lower raw material cost and product mix, respectively. SG&A expenses were approximately $122 million for the second quarter or about $3 million above the same period in 2012. Costs related to startup of Rigid IBC lines and higher information technology expenditures represented most of this increase. We launched our Rigid IBC growth strategy in August 2011 with the acquisition of Fustiplast. Since that time, we've started up Rigid IBC lines in Europe, Asia and Latin America and have identified additional key markets globally for future installations. Positive contributions from these lines are expected to be meaningful in future periods as volumes reach anticipated production levels. Operating profit increased 7% to $84 million for the second quarter of 2013 versus a year ago, led primarily by higher results for Paper Packaging. Restructuring charges and acquisition-related costs were immaterial for the second quarter of 2013 compared with $11 million last year. In the second quarter of 2012, recall we were consolidating operations in the polywoven business and rationalizing operations in the Rigid Industrial Packaging business, which led to higher restructuring charges during that period. EBITDA increased $7 million to $122 million for the quarter compared with the same period last year. Net interest expense declined $2 million to $21 million for the second quarter 2013. Decrease was due principally to lower debt and lower average interest rates. Long-term debt declined $36 million during the second quarter of 2013. Our effective tax rate increased to 30.6% for the second quarter from 28.9% from the same period last year. In dollar terms, the income tax expense was nearly $19 million for the second quarter versus $15 million in 2012. This was due to higher income and the increasing effective tax rate related to a greater portion of income generated primarily in North America, which is a higher corporate tax jurisdiction. Cash tax payments were $24 million for the 3 months ended April 30, 2013. For the first 6 months of fiscal 2013, the effective tax rate was 31.3% compared to 30.3% a year ago. Net income attributable to Greif, Inc. was approximately $41 million for the second quarter of this year compared with $39 million a year ago. On a fully diluted per share basis, this represents $0.70 versus $0.67 for the second quarter of 2012. Earlier this week, the Board of Directors declared quarterly cash dividends of $0.42 per Class A common share and $0.63 per Class B common share. These dividends are payable on July 1, 2013 to stockholders of record at the close of business on June 20, 2013. I'm now on Slide 6. Net sales for the Rigid Industrial Packaging & Services segment were $773 million for the second quarter of 2013 or approximately 4% below the same period last year. Volumes were essentially flat compared with a year ago with mixed results regionally around the world. There was a 2.4% decrease in selling prices for the quarter due to the passthrough of lower raw material costs and changes in product mix and a negative 1% impact attributable to foreign currency translation. The $10 million decline in gross profit compared with second quarter of 2012 was principally due to changes in product mix in the Americas, driven primarily by a delay in the agricultural sector. Operating profit was $53 million for the second quarter of 2013 compared with $56 million a year ago. In addition to the decrease in gross profit, there was a $1 million noncash asset write-down, offset by lower restructuring costs, which were immaterial this year versus $5.5 million in 2012, and acquisition-related charges were immaterial in both periods. EBITDA was $81 million for the second quarter, a decrease of approximately $1 million compared to a year ago. Please turn to Slide 7. Second quarter 2013 net sales were $112 million for the Flexible Products & Services segment or $1.5 million below the same period last year. Modestly higher polywoven volumes in Western Europe were partially offset by lower polywoven volumes in Asia and Australia, where we exited certain unprofitable markets and lower Multiwall volumes in the United States. Polywoven selling prices declined approximately 1%, while Multiwall selling prices increased slightly, both principally due to changes in product mix. The impact of foreign currency translation was negative 1%. Product mix in Multiwall Bags, higher polywoven production costs related to ongoing consolidation of operations and startup costs related to new facilities, including the fabric hub in Saudi Arabia, a confection facility in Morocco and a shipping sack line in North America, were the key factors that contributed to the $1.5 million decline in gross profit for the quarter. Operating profit was $800,000 for the second quarter compared with an operating loss of $1.9 million last year. Lower restructuring charges and acquisition-related costs of $200,000 in 2013 versus $5 million in 2012 were the principal reasons for the improvement compared with last year. Second quarter 2013 results included $1.3 million of bad debt expense. EBITDA was $3.4 million for the second quarter compared with $500,000 a year ago. Depreciation, depletion and amortization expense was similar for both periods. I'm now on Slide 8. In our Paper Packaging business, the good work the team has done over the past few years on the Efficient Frontier initiative, supported by the Greif Business System, positioned the business well to fully benefit from the favorable market conditions we're currently experiencing. Net sales for the second quarter were a record $195 million, which represents a 12% increase over the same period in 2012. Selling prices were nearly 9% above a year ago, reflecting the full impact of the September 2012 containerboard price increase. In April of this year, we began to implement a $50 per ton containerboard price increase. Gross profit increased nearly 25% to $41 million for the second quarter, benefiting from the higher selling prices, increased volumes and lower costs. Operating profit of $26 million was a second quarter record and significantly above a year ago. There were $1.6 million of noncash impairment charges in the second quarter of 2013 related to surplus properties under contract for being marketed compared to $2.4 million last year. EBITDA increased 30% to $32 million for the second quarter of 2013. Please turn to Slide 9. Land Management's net sales increased 9% to $8.6 million for the second quarter principally due to opportunistic timber sales from wet-weather logging tracts. Fewer special use property disposals during the second quarter of this year compared with a year ago contributed to a decrease in operating profit of $4.2 million versus $7.1 million last year. EBITDA was $5.4 million for the second quarter of 2013 versus $7.9 million for the same period in 2012, including $400,000 of higher depreciation, depletion and amortization expense this year. I'm now on Slide 10, which includes our outlook and guidance for fiscal 2013. During the second half of fiscal 2013, we anticipate continuation of modest sales growth benefiting from the agricultural sector, stable raw material costs and favorable market conditions continuing in our Paper Packaging business. Our revised outlook for fiscal 2013 EBITDA is between $475 million and $500 million. That concludes my remarks. I'll now turn the call over to David.
David B. Fischer: Thank you, Rob. We are encouraged by the progress achieved during the second quarter and the first half of fiscal 2013. We have spent considerable time during the past year strengthening our business base and are now positioned to move forward. I'm now on Slide 11. Our safety-first culture is of paramount importance throughout the company. We regularly measure and review the safety performance in every facility worldwide to seek ways to perform better. During the second quarter, we conducted a safety conference for more than 100 of our plant supervisors from around the world. A wide range of topics that impact employee behavior in the workplace were addressed so that we continued to be proactive in our efforts to improve safety. With more than 250 facilities in over 50 countries, the importance of adopting behavioral-based safety practices that can be observed and measured is important and fosters an environment of unified commitment throughout the company. This training provides our supervisors with specific tools to support safety efforts at each of our plants worldwide. During the second quarter, we continued to make progress on achieving world-class safety status in all operations. Achieving excellence in safety can only be achieved by achieving excellence in all aspects of manufacturing. And on that note, I want to recognize both of our paper mill managers, David Scott and Chip Shew, for their incident-free performance during the annual maintenance shutdown and restarts of both Riverville and Massillon paper mills this past month. Please turn to Slide 12. After beginning the year with solid sales volumes across our business portfolio, the pace of economic activity became somewhat choppy, especially in our Rigid Industrial Packaging segment, which was partially due to the wet and colder weather conditions impacting the agricultural sector. As a result, second quarter sales volumes were only modestly higher compared to the same quarter last year. Business activity levels in our end markets continue to vary by region. Meanwhile, we have achieved record net sales and record second quarter operating profit in our Paper Packaging segment. Our ongoing emphasis on generating cash showed signs of progress during the second quarter. As Rob noted in his remarks, cash from operations of more than $100 million for the quarter enabled us to be positive for the first 6 months of this year and on track to achieve our objectives for 2013. We continue to implement plans throughout the businesses and across geographies to realize additional operating efficiencies. These initiatives are helping reshape our back office operation by making -- operations by making us more efficient and more agile to respond promptly to changing economic and market conditions. Additional benefits include a closer relationship with our key customers as we provide them with a broader range of products and services to meet their needs. For example, more than 1/3 of our customers use a flexible intermediate bulk container to receive raw materials in their plants and a rigid industrial container, such as steel, plastic, fiber or rigid IBC, to safely package their products. These situations enable us to leverage our comprehensive product portfolio and better serve our customers. In addition to cross geography initiatives, we are also implementing plans within our businesses to achieve improved long-term performance. For example, in Paper Packaging, our Efficient Frontier initiative, supported by the Greif Business System, is leading to higher productivity, more streamlined operations and position us to take advantage of market opportunities. I am now on Slide 13. Considerable attention continues to be directed towards implementation of our global growth platforms. Sales in our Flexible Products segment have generally stabilized in the recent quarter, and we are working aggressively to implement plans to broaden our geographic participation in polywoven products. Further progress through the Greif Business System is being realized in our production facilities in Turkey, and we began to ship -- and we began shipping product from our fabric hub in the Kingdom of Saudi Arabia during the second quarter. In North America, we also completed the startup of our first polywoven shipping sack line to begin serving customers in this market. Following a brief period of product qualification, we expect to begin significant commercial sales during the current quarter. As we continue to move forward, the startup costs incurred for the KSA fabric hub, expanded confection capabilities in Morocco and our shipping sack line in North America will diminish, and these facilities will contribute to acceleration of future growth. While volumes continue to vary by region and product type, overall, we are encouraged that the Flexible Products segment is now positioned to resume sales growth and increase its profitability. Another growth platform, rigid intermediate bulk containers, is benefiting from additional installations in key global markets. Market demand remains solid, and Greif's expanded participation in this new product is being well received. During the second quarter, we opened a new line in China, which follows installations in Europe and in South America earlier this year. We plan to open another Rigid IBC line in North America later this year. Other sites have been identified for future installation as well. As we increase the total number of Rigid IBC lines globally, the combined impact from these expanded production capabilities is expected to provide meaningful contributions to the Rigid Industrial Packaging segment's profitability. Incremental progress continues to be realized through the business portfolio despite the slow-motion recovery of the global economy. Here at the midpoint of fiscal 2013, we are encouraged by our achievements thus far and look forward to realizing further progress during the remainder of this year. That concludes my remarks. Rob and I will now be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Ghansham Panjabi with Robert W. Baird.
Matthew R. Wooten - Robert W. Baird & Co. Incorporated, Research Division: It's Matt Wooten sitting in for Ghansham today. Would you please walk us through the volume trends in fiscal second quarter by region and end market? In particular, we sense some optimism for your outlook in agricultural end markets, but I was wondering on your thoughts on the current demand trends in petroleum and chemical end markets as well.
David B. Fischer: Let me comment first on the agricultural sector, and then I'll walk through some of the numbers. It varies by region around the world, although we are, in a general sense, expecting a good agricultural season worldwide. In the North American market, we're seeing wet and colder weather, not a surprise. A lot of folks in the agricultural sector are talking about it. We're also seeing a torrid pace of planting in the last week or 2 and activity definitely picking up as folks get past that wet and colder start to the year. As far as Latin America, we're expecting a very strong food season. Several of our facilities are sold out for the coming months due to large increases from customer in terms of packaging both those inputs to the agricultural season and then harvesting preparation as well. Too early to tell exactly what's happening with the tomato season in Europe, but we're anticipating a good season there. Let me walk through a few of the areas a little bit more specifically and then see if that answers your question. Let me start with EMEA, which is, I would say, a positive sign for us and one that we haven't been able to talk about for the past few years. It's not setting the world on fire by any stretch of the imagination, but it's clearly firming and improving, all but in a slow-motion style. I'm going to first cover the volume comparison versus 2012 in each of these segments, and then I'll comment in the sequential volume change over last quarter. In EMEA, versus 2012 volume, we see volume up low single digits. And versus the first quarter of this year, we see volume up in the mid-teens compared to prior period this year. In APAC, Asia-Pacific, we see volumes versus 2012 up low single digits versus prior year and up mid-single digits versus last quarter. In Latin America, volumes are up low single digits versus prior year, and versus last quarter, they're down low single digits versus last quarter. But this is on a very small base. It's basically the seasonal low point of activity there. In North America, volumes are down low single digits versus the same time period last year but up about 9% versus the last quarter of this year. I should also comment about the April-versus-May type of trend we're seeing. In North America, April was a soft or choppy month for us across much of our participation, but May bounced back to nearly the same volumes of prior year. So that choppiness seems to have resumed in North America during the April time frame, whereas the first 2 months of the quarter started out reasonably strong. One other comment about EMEA, we should've mentioned earlier, April was what we would call steady. We didn't see the choppiness that we did in North America. And we also look at May being a little bit better than April and hope that trend continues as they firm up their economy. In other areas of our portfolio, our Greif packaging accessories business, we see volumes year-over-year for this quarter as basically flat. And for the first quarter comparison, we see second quarter up in the mid to high teens versus prior year, and we take that as a good sign that people are ready for a higher packaging activity in the second half of the year. In our polywoven business, Rob commented briefly on this, but the comparison year-over-year, we see it down low single digits versus last year. But again, this includes the exiting of a unprofitable business in Australia and the restructuring of in-country participation in our China position for polywoven. As far as this quarter versus last, it's up mid-single digits. And recall that 75% of that business is sold into the EMEA theater, so we take that as a positive sign. Our paper business, Rob also mentioned, but I'll cover it just briefly, up mid single digits year-over-year for the same quarter and up slightly versus Q1 despite the North American choppiness in the Rigid business. And that completes the walk around the world.
Matthew R. Wooten - Robert W. Baird & Co. Incorporated, Research Division: I appreciate the detail. And as a follow-up question, could you provide a little bit more detail on the mix issue in the Americas, and is the negative mix what drove the decline in sales in Asia-Pac and Latin America in the quarter?
David B. Fischer: I'm sorry, you cut out. Could you restate that question, please?
Matthew R. Wooten - Robert W. Baird & Co. Incorporated, Research Division: Sure. I was just looking for some more detail on the mix issue in the Americas and was wondering if negative mix is what drove the decline in sales year-over-year in Asia-Pac and Latin America.
David B. Fischer: As far as North America and the mix, we have a pretty broad exposure to the agricultural season not only for fiber but for steel and plastic alike. And with that sector, getting a very late start and now picking up pace dramatically, we expect some of those sales to be shifted from Q2 time frame, which they typically occur in the last month of Q2 for us into the Q3 horizon.
Operator: Our next question comes from the line of Mark Wilde with Deutsche Bank.
Mark Wilde - Deutsche Bank AG, Research Division: Just a question on the restructuring spend because I think earlier, you had pointed to kind of a full year number of about $25 million. I think you only spent about $1 million in the first half, and I'm wondering whether that means actual restructuring spend for the year would be down, lower than you expected, or whether we're going to see a real flurry of activity here in the second half.
Robert M. McNutt: A good question, Mark. And in terms of restructuring, early in the year, recall we still had a lot of uncertainty in terms of Europe. And as we've gone through the first half of the year and we did some restructuring last year in Europe, Western Europe, the guys who run that business have done a great job managing and controlling costs and getting the footprint to the level of activity at this point. So as Europe has stabilized now, as David said, a little bit of signs of life, not declaring victory but some positive signs. We're shelving some of those restructuring plans to see how that plays out during the course of the year, and we'll react according to that. But I think it's fair to say that we'll be under that $25 million number that we'd cited earlier.
Mark Wilde - Deutsche Bank AG, Research Division: And Rob, just remind me, does that have an influence in terms of bringing up the low end of that guidance range, or is that outside of the guidance?
Robert M. McNutt: The guidance includes that restructuring charge, so part of that is going to be that the restructuring comes up. But as David said, we anticipate we're going to continue to have some improvement in volumes. As the ag season kicks in here in North America in earnest and in Latin America as well, as he mentioned, those should help our volumes as well and then continuing improvement in the paper business pricing. We anticipate all of those to contribute to it.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. But part of the issue here is that you're going to have lower-than-expected restructuring expenses in the year.
Robert M. McNutt: Correct. It's not going to be 0 for the balance of the year, we don't believe. But it's going to be less overall than that $25 million we cited earlier.
Mark Wilde - Deutsche Bank AG, Research Division: Would you want to ballpark number for us just to help us bracket it?
Robert M. McNutt: Yes. I mean, we're thinking in the $15 million-plus range, depending on, again, how the different economies are behaving and where the needs are to balance.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. So still a pretty good pickup from kind of first quarter base, just not going to take us all the way to $25 million, correct?
Robert M. McNutt: Correct.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. And then, it looks like, in your guidance, it doesn't sound to us like you've got the full effects of this spring containerboard hike. Can you confirm that?
Robert M. McNutt: Yes. As we look at the spring containerboard hike and where we are in our discussions with customers on the board side, we've moved that really through but recognized, with our integration level, that's largely a transfer pricing issue. As you get into the sheets and the boxes, we anticipate that based on our customer -- conversation with our customers that that's going to move through the third quarter and by the end of third quarter, should have that fully implemented. And really, we're going to see the bulk of the impact of that in the Q4.
Mark Wilde - Deutsche Bank AG, Research Division: Okay, all right. And then either you or David, just comment on sort of how you read these ISM numbers because I thought this read earlier in the week was kind of a disappointing number, and I just -- it sounds to me like, from what you guys had said earlier, that you'd had a soft April but May was up, and yet the latest ISM number we got is going down. And I would think your business would correlate pretty well ISM.
Robert M. McNutt: Yes. We do tend to not carry finished goods inventory in our North American Rigids business and tends to go directly to the customers to their fill lines, and so it should be pretty direct drive real-time. Again, we can report what we see in the marketplace, which is, as David described in April, it seems a little bit choppy to us. May firmed up a bit. Part of that is, again, as the ag season -- there's more certainty around that, perhaps. We see more of that in our business. As you get into the chemical business, David, I don't know if you want to comment further on that.
David B. Fischer: I would just say they're highly choppy. I'm just going to go back to what Mark asked earlier and remark, at the risk of stating the obvious on the restructuring, we fully have plans to -- had plans on the shelf to fully utilize the entire restructuring budget should the economy continue to deteriorate, particularly out of Europe but in other soft spots around the world. But having seen at least some firming and slight or modest growth, we have shelved those. As you know, we're not very good at predicting the future, and if the economy turns south again, we could fully utilize that full $25 million. So we thought it prudent to move the bottom of the guidance up a little bit but not just assume it's going to be wiped out because we're still in a tenuous moment around the world. But what we did last year to fix our facilities to be profitable in this environment has worked and is enough, given what we have seen or what we expect for the second half of the year. But should that change, we'll be right back at it.
Mark Wilde - Deutsche Bank AG, Research Division: Dave, I'm not any better at forecasting the future than you guys. In fact, I'm probably a little worse. But the last thing I wanted to just ask you is on this RIBC. Can you just put any kind of number around both a kind of a 3-year sales outlook and sort of what the margin on that incremental volume would look like?
Robert M. McNutt: Let me address the -- and I don't want to get pinned down on 3 years, but we are expanding in our own operations around the world in a rather cookie-cutter way, the capabilities that Fustiplast has brought to us. And we're having some success at it, and we have other lines planned. All told, when we execute the final strategy, it could run, I mean, somewhere between $125 million, $150 million in sales for the foreseeable phase that we're after. But I'm not going to comment -- who knows where the margins will shake out once we're all done with this?
Mark Wilde - Deutsche Bank AG, Research Division: Yes, I just was trying to get a sense, Dave, is this going to be sort of 13% to 12.5% to 15% margin business, would you think? Or because you're leveraging the existing facility, you'd do a little bit better?
David B. Fischer: Rob, wants to...
Robert M. McNutt: Yes. Mark, typically, exactly as you would expect. We'll spread the fixed costs of existing facilities in a number of those cases. The other piece of that business is it integrates nicely in the reconditioning business. And so as you look at remodeling opportunities and so forth, where you're not making a full line, and so where the margin goes in part depends on that mix of reconditioning versus new and so forth. And so as that evolves and as we continue to expand our partnership with customers in terms of closing the loop with them on the life cycle of those containers, that should help our margins as well.
David B. Fischer: I would also add, Mark, that historically, looking back, the historical margins in that marketplace have been typically a little bit ahead of our traditional steel drum business.
Operator: Our next question comes from the line of Chris Manuel with Wells Fargo.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: A couple of questions for you. First, let me start with the -- and I think Mark asked some questions around restructuring to help with the guide on the EBITDA side. Let me ask a couple of questions with respect to the free cash flow side. If I take your comments earlier, Rob, where you talked about 4 of the last 5 years, it's been negative in the first half of the year for free cash flow, but with the exception of last year, when it was a big difference. If I look at the free cash flow you generated for the last 5 years, excluding last year, I think you did north of $300 million, it's been anywhere from -- for the full year of minus $3 million to as much as $142 million, with the average being less than $45 million. So should we be thinking about then this year, if it's more like the previous 4 years of free cash flow being something a little less than $45 million for the full year? Or I think maybe a little color or help there might be useful or maybe coming at it a different way. I think you both, David and Rob, referenced kind of being on plan or towards a target. Could you maybe equate to us what sort of plan or target would be similar to the way you have with an EBITDA range?
Robert M. McNutt: Well, to just walk through the numbers to build the free cash flow, the $475 million to $500 million of EBITDA that we guide to and then about $150 million in terms of CapEx for the year, in that range. Working capital, we keep making improvements on our turns in working capital, which is a positive impact. But as our paper guys keep raising prices, that offsets some of that. Still aspire to have the working capital be a modest positive for us, but as paper prices keep going up, that gets to be a higher hurdle for us despite good work on the turns. Then you get into the interest payments and the tax payments. Interest payments in the $80 million, $90 million range, I think, is reasonable, given where the debt levels are and interest rates are. And then the cash taxes we've talked about before as being in that $45 million, $50 million range for the year. So you add all of that up, and you can come to your free cash flow numbers, which, I think, are maybe a little bit better than historical performance has been.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. That's modestly helpful. Okay, so if I can switch gears then to a couple of the hotspots as we look at where -- geographies or regions where there've been some challenges over the past few quarters and I look at the performance -- if I just look geographically at the performance of the business and I look at Europe or the EMEA region and I look at Asia-Pacific, South America, they both continue to be down pretty sharply on a year-over-year basis or still at levels considering throughout [ph] history, and even North America, if we strip out all the improvement essentially within the paper side. Could you maybe give us an update as to -- when you went through the different pieces, it sounded like volumes were off a little bit, but I also recognized that you were maybe [ph] working on some operational improvements and some restructuring elements there as well. Could you maybe give us an update as to, as we look at those different regions, what you anticipate -- if I were to look at EMEA and I were to look at Asia-Pacific, South America, what would kind of normalized margins be, and what's the path towards that?
Robert M. McNutt: Yes. In terms of normalized margins, again, if you look at EMEA, there's a lot of changes going on in EMEA here over the last couple of years, with European industrial activity coming down. And that's created a supply-demand balance, where people have been more aggressive on pricing. And that's impacted margins there. Depending on your view of what's going to happen to either demand improvement in Europe or, on the other hand, supply rationalization as some of the higher-cost players conclude that they can't sustain those kinds of margins and throw in the towel, that supply-demand balance is ultimately going to drive what's going to happen to margins in Europe. And so we just got to work through that, either the demand improvement or competitor supply rationalization. And your view or outlook on that is, I'm sure, as good as ours. We believe that we do have competitive low-cost operations, and we do believe that we provide a level of customer service and a footprint of customer service that gives us distinct advantages in the marketplace there. And so we'll continue to lever that. And we think we've got a good footprint, as I mentioned earlier, in Europe today. And the margins in that business is feeling better, more stable, certainly, and modest improvement here in recent months. Asia-Pacific, Latin America, we talked about our challenges in Latin America, Brazil, in particular, here over the last couple of years. Those are improving. Those operations are improving. And part of that, as we've spoken to you before, has been some self-inflicted wounds there in terms of both operating performance and commercial performance. Both of those have continued to improve, and I think you see that show up in the year-over-year improvement in that business, not yet back to historical levels. And obviously, as you have commercial issues and disappoint customers, it takes you a little while to work your back in. We're confident we will continue to work our way back in and continue to make progress on Latin America. I don't think we're going to get back to historical levels by the end of this year, but over the next couple of years, we'll get a lot closer to it. North America, again, the choppiness here creates competitive situations. But we do think that the $90 billion that our downstream customers have talked about investing based on frac-ing technology in the oil and gas industry here, all of that downstream investment, we think we're very well positioned to serve both on the new side and the recondition side. And so we think there's some opportunity there where the demand is going to help drive improved volumes certainly. And depending on how supply reacts to that, we'll see what margins do. David, I don't know if you want to add...
David B. Fischer: I would just only add that we're going to get a real good look at the first significant step-up in -- expected step-up in performance in Latin America with this coming quarter because of the bookings that are already on the file for the ag season, and the demand is more than our capacity's capable of making. So we're going to get a real good view of the impact of our rehabilitation of a number of those key operations down there by the end of this quarter. As far as -- probably not a very useful statement to you, but an answer on margins going forward, I see no reason we cannot achieve historic margins in this business again and beyond. But it is going to take time, as Rob said, as we work through this slow-motion global economy.
Operator: Our next question comes from the line of Adam Josephson with KeyBanc.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: Questions for you. Do you consider current conditions sustainable in industrial packaging and containerboard? In other words, to what extent do you expect volume to improve in Rigid and Flexible, and to what extent do you expect trends in containerboard to deteriorate either because of rising OCC prices or increased containerboard capacity?
David B. Fischer: Let me try to take a portion of that, and I'll ask Rob to fill in where I miss. But on the containerboard side, we've seen an unprecedented and historic runup in margins because of the industry consolidation, couple that with the work we've done for the past few years. I would tell you that the Efficient Frontier strategy is giving us a much better cost position and a much better productivity capability throughout our system. But you got to remember, we're 2% or less of the North American market, and we are in a highly differentiated service position because of our CorrChoice capability. So I think the industry is going to do whatever the industry is going to do in terms of macroeconomics and margins. But we're going to stay the course with providing a differentiated service capability and a unique set of differentiated products to continue the type of performance and margins we have. So do I think it's going to continue? No. I think there's new capacity coming on, and I think that there's probably some rise in input costs over time. But that's going to ebb and flow like most commodity markets, but the key for us is to stay nimble, agile and take a systems-wide approach using CorrChoice with our mills to keep a differentiated position. Rob?
Robert M. McNutt: Yes. We have a couple of other pieces related to the Paper Packaging business. A lot -- a number of folks who are talking about new capacity, a key in this is access to the customers. And that's where, as David said, our access to the downstream customers who are converting operations is key in capturing value. And that's one where -- I think those who have access to that downstream customer are going to be much better positioned to capture margins than those without. The other thing I would say is with OCC costs you mentioned that the Chinese initiatives around Green Wall where, historically, there has been some concern with contaminated OCC and other waste products coming into the country, and so they have stepped up inspection efforts to deal with that. We anticipate that's going to do nothing but help OCC supply in North America. In terms of historically, China's been the big volatile buyer of OCC that's caused price spikes.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: That's really helpful, David and Rob. And just one more on containerboard. How close to capacity are you? And consequently, how much scope do you think you have to grow volume in the years to come, and what additional investments might you make in order to enable more volume growth than you're able to generate at current capacity levels?
David B. Fischer: We generally run at or near capacity as a general rule using the CorrChoice downstream operations that gives us the ability to keep the mills full. As far as future capacities, it will be only incremental creep, as we say, with mature assets like ours. The Efficient Frontier strategy has already squeezed much of that creep out. I'm not sure exactly where the additional creep will come from, but we always manage to get 1% or 2%. Going forward, I don't foresee us making major hundreds of millions of dollars investment into growing our footprint beyond what we call the Efficient Frontier or the logical endpoint for those size of assets.
Operator: Our next question comes from the line of Phil Gresh with JPMorgan.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: First question, just on the Flexible side, you have your long-term target out there that you talked about a couple of quarters ago for 2015, $700 million to $750 million in sales, 12% to 13% margin. You're referencing some of these startup costs, and you're getting the fabric hub ramped up and some other costs you mentioned as well. So I'm just wondering if you could recalibrate us on that target, and how much duplicative costs are there right now and what is the pace at which we should expect to see that ramp. Should we see a large step-up in 2014? Or just give us some thoughts as to how you're thinking about that today.
David B. Fischer: Thanks for the question. It's an excellent one and we get it often. I would tell you that contextually, the last couple of years have been difficult for that business because what we had to accomplish with consolidating 4 acquired companies into 1 and doing it in a meaningful, efficient operation are challenges enough. And then you lay over the top of that the economic downturn of Europe, things got difficult for us. During that period of time, we've consolidated a number of production assets on the order of 5. We've closed 4 warehouses, 3 sales offices, outplaced over 1,000 people and exited unprofitable business in Australia and in certain in-country positions in China. So we've had our plate full, especially when you consider that backdrop and then building the KSA hub, building the North America shipping sack line capability and expanding our Moroccan bag, selling what they call confection operations along with Mexico. So what I'm looking for from the team is a stability runway, if you will, or a stable runway on increased organic growth, increased profitability, increased production KPIs from the units that are remaining, which have been burdened with higher production needs because of the consolidation of assets, not because of macroeconomic condition. So I'd like to see that for the next couple of quarters, and I do believe '14 will be a tipping point one way or the other for the business because to achieve those kind of aspirational targets, which we still maintain and adhere to, we're going to have to buy into some distribution capabilities around the world to make a step-up, if you will, in global output. And I'm not -- I don't think it's prudent to do that until we have a proven track record of profitability growth. Just to get bigger isn't going to be the answer for us. But I do think profitable growth and entering this market still makes a lot of sense for our portfolio. It makes a lot of sense for our customers. And I'm anxious to see that stability and profit growth here in the next coming quarters.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: So I guess if I think about that sales target that you had laid out, how much of that was organic versus the acquisition that you're -- I think you're speaking more on the distribution side. I mean, I'm trying to kind of calibrate -- if you don't do those acquisitions, if you want to see the profits first, what kind of margins can you achieve on this existing footprint that you have?
David B. Fischer: Yes, we haven't disclosed that breakdown. We have a couple of target companies in mind in terms of size. And that type of goal is clearly within range or reach. But as far as the organic growth, suffice it to say, and it may not be very useful, but growing faster than GDP via leveraging some of our existing heritage product sales capabilities is one of our key components of that growth strategy.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Okay. I guess is there a way to think about the redundant costs that you see right now, like what a '14 margin potential might be?
Robert M. McNutt: Yes, I'm not going to give you a forecast on margins for a specific segment. I don't think that makes sense. But I will tell you, I mean, as with any startup, we do incur additional costs just starting up. And then you don't get fully the spread of the fixed cost, and so your unit costs tend to be relatively high. We have talked about startup costs being in the couple of million dollars a quarter in the past, and that's continuing, although tapering off, at this point. But we still don't have the volume ramp that allows us to spread the fixed cost. As David said, we are now shipping out of Saudi through Morocco and pushing that to customers. We are now doing qualifications on the shipping sack business. And so as we get those qualifications customers, that will continue to ramp up. It's not going to happen immediately, but it's going to happen over the next several quarters.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Got it, okay. And then just one more follow-up question on the containerboard side. It seems like commentary from some of the other companies has suggested that the timing of the second price increase might be a little slower than the first one. Are you seeing that? It doesn't sound like you are.
Robert M. McNutt: I don't know what anybody else is experiencing. All I can tell you is that in our discussions with our customers, that it seems to us that it is moving through, not materially different in any way. I mean, you always have some carryover depending on contracts and so forth. But as I mentioned earlier, we anticipate by the end of the third quarter that given the momentum and the discussions we're having with our customers, that that $50 increase should be all the way through so that it will fully reflect in Q4.
Operator: Ladies and gentlemen, we have reached the end of our conference time. I'd like to turn the floor back over for closing comments.
David B. Fischer: We are pleased with our year-to-date results despite the slow-motion recovery of the global economy. The sequential improvement in second quarter cash flow reflects the ongoing commitment to achieve our targets for the entire fiscal 2013. I will now turn it over to Deb to provide replay information.